Operator: Ladies and gentlemen, welcome to the Carrefour analyst conference call. I'll now hand over to Mr. Alexandre Bompard, Chairman and Chief Executive Officer. Sir, please go ahead.
Alexandre Bompard: Good evening. Thank you for joining us on this call. Matthieu Malige and I are going to take you through our half year results. When I look back at the past few months, it's very rewarding to see how well we performed in an extremely difficult environment. The first 2 quarters of 2020 proved to be an operational and managerial challenge between ensuring the safety of our colleagues and customers, making sure that everyone had access to food while listening attentively to clients. Having embarked on our transformation 3 years ago, we entered this unprecedented situation in a position of strength and our performance reflects that. We successfully weathered the storm in a period in which many companies and sectors have been struggling. We set a clear course of action from the very beginning thanks to our proactive governments, and we adapted in real time thanks to our responsive teams. We continue to be extremely vigilant as the virus is still actively circulating in several regions, notably in Latin America, and has lost intensity without yet disappearing from other parts of the world. What's more, our business model proved to be not only resilient but successful and profitable. Before commenting on the figures, allow me to say that they are the results of the exceptional commitments of our teams, who went beyond the call of duty for customers, for their colleagues, for their families. They take pride in our performance, and I thank them for that. Looking at our top line. We posted very strong plus 7% like-for-like growth in H1. Q1 growth was 7.8% like-for-like, driven by all our geographies. Q2 growth continued to be robust, up 6.3% like-for-like despite several weeks of lockdown measures. Growth varied strongly between countries, as local measures and each conditions were not uniform, but most of our geographies reach a satisfactory level of performance. In Brazil and Spain, 2 of our major growth engines, were able to further accelerate during the crisis and are running at full speed. Regarding our formats, convenience, supermarkets and e-commerce performed strongly. Hypermarket, which were showing improving sales momentum at the start of the year, were the most penalized by limitations on mobility. Since May, the momentum in hypermarket has picked up again. Having a strong multi-format and omnichannel model helped us adapt to each moment of the crisis. Turning to our bottom line and to cash generation. Our recurring operating income was up by an impressive 29% at constant exchange rates to EUR 780 million. And we also improved our free cash flow after 2 consecutive years of progress. This strong increase reflects a solid retail performance, given the additional costs incurred on the fact that we were required to stop some of our activities, while levels were negatively impacted by the crisis, such as B2B in Europe, financial services and other services like rentals or ticketing. Structurally, this demonstrates how well we monitor our cost on our inventories, how selective we are with our CapEx, and how financial discipline is embedded in our DNA in all our geographies. This allows me to announce today that we are raising our savings objectives to EUR 3 billion on a full year basis by 2020. I'm also announcing that we will cap our CapEx to a maximum of EUR 1.5 billion this year. Lastly, our liquidity position was further strengthened during the crisis, and our balance sheet is one of the strongest in the industry. These are very positive results. Yet, as strong as they are, they don't capture the value we created these past few months. We created value for our clients. We launched customer-friendly initiatives and our teams worked with dedication and care to make clients feel safe and welcomed in our stores. This resulted in an above-market rise in our Net Promoter Score, up 3 points since January. We also created value for our planet. Even when the crisis was most intense, we stepped up our efforts. As we are outperforming our objective to reduce our store-related carbon footprint, we have decided to set a new ambition. We are now targeting a 30% reduction of carbon emissions on products sold in our stores, a new objective aligned with the 2-degree scenario. On a larger scale, we are well on track to achieve our CSR objectives for 2020. All this progress enables me to confidently confirm that we will meet or exceed the objectives of our Carrefour 2022 transformation plan, both financial and extra-financial. Looking at our results. It is clear that the transformational work we had done over the past few years was crucial to our ability to successfully navigate through this crisis. We have also learned from this crisis and we are taking action on the operational conclusions we have grown. It starts with the confirmation. The choices we made a few years ago are aligned with the future direction of our industry. First, this crisis is a tipping point for food e-commerce. Market share will consolidate much higher than before. We are well positioned, thanks to our increased investments, our rapid expansion in Drive and Pedestrian Drive and our partnerships with best-in-class delivery companies such as Rappi, Glovo or Uber Eats. Our commercial and operational models are running well. This enabled us to strongly benefit from the booming demand during the crisis. As a result, we posted record 70% growth during H1, gaining 850,000 clients, among which 500,000 in France and further improving our economic model. We've launched new initiatives to keep the momentum going. As part of our strategic partnership with Google, we launched a new voice-based e-commerce grocery shopping experience in France. We are the first retailer in the world to offer such an innovative service. Second, in the aftermath of the crisis, we may be faced with a decline in consumer purchasing power. We are responding in 2 ways to this challenge. We are enhancing our price competitiveness. In Latin America, in Taiwan, in Spain, we have already gained price leadership. In our other geographies, we have improved our price positioning by boosting loyalty program on [ everyday low ] prices. We are now accelerating our catch-up efforts, particularly for our own brand. At the same time, we will continue to expand our discount on cash & carry formats that have proven to be successful during this crisis. Third, this crisis highlights the need to improve the way we produce and consume. Customers are moving faster than ever towards good quality in the co-design products, and this provides further impetus to Carrefour's leading role in the food transition fall. Since January, we've extended our lead over competition on the organic market with solid 25% growth. And with our specialist SoBio, we have a successful format that we continue to expand. Lastly, the crisis also brings some new opportunities. Thanks to our sound financial structure, we have made bolt-on acquisitions part of our strategy as evidenced by our transactions for Makro in Brazil and Wellcome in Taiwan. We will continue to assess the market to identify targets with high-value creation potential. The crisis has also further strengthened 2 convictions of mine. First, everything starts and ends with client satisfaction and performance will follow. We've done this well in many countries. Second, there are always more opportunities to streamline our operation and be more agile. And in the light of the crisis, I have identified some of them. To deliver swiftly on these operational takeaways of the crisis, I appointed new heads of France, Spain, Italy and Poland, with proven track records on the strong customer and action-oriented approach, notably in France. The mission of this highly-driven team is to roll out the Carrefour customer-centric approach based on the 555 method that proved to be successful in every country in which it has been implemented. In this method, client needs dictates every decision. This delivers improved NPS, which in turn results in improved like-for-like sales. The keys are operational efficiency, quality of service and a sense of ownership. Our clients' problems should be our managers' problems. To conclude, this crisis intensify pre-existing trends, ones that we place at the core of our transformation plan 3 years ago and that now put us in pole position. At the end of February, I said that 2020 would be a year of unprecedented customer mindset for our group. This is exactly what's happening with even greater force as a result of the crisis. We've taken further action to intensify our pace and accelerate our profitable growth path. Thank you for your attention. I will now hand over to Matthieu.
Matthieu Malige: Thank you, Alexandre. Good afternoon to everyone. I'm very pleased to be with you today. I'm going to walk you through the key financial highlights of the second quarter and the first half, that demonstrate that the initiatives we have launched since the beginning of the transformation are bearing fruit. This allows Carrefour to post a robust performance despite the COVID-19 pandemic. I will be making reference to the presentation, starting on Page 10. Let's first look at our overall Q2 performance by commenting on our first half financial aggregates. On a like-for-like basis, Carrefour's Q2 sales were up by a strong 6.3%, demonstrating a good execution and the strength of our multi-format and omnichannel model. We saw particularly strong growth in Latin America whose like-for-like sales were up by almost 21%, driven by an outstanding performance in Brazil. We also recorded robust plus 4.7% growth in Europe with Spain confirming its solid momentum. French sales were up plus 0.7%, with good performances in convenience and supermarkets while hypermarkets are improving well since May after being penalized by the lockdown in April. Food e-commerce performed very strongly in the quarter, doubling its sales. This confirms that all the investments made over the past 3 years to digitalize Carrefour and improve e-commerce capacities have allowed us to take full advantage of the surge in online demand. Total reported sales at EUR 18.7 billion were down minus 6.3%, penalized by 2 strongly unfavorable impacts in the quarter. First, a minus 5.8% petrol effect due to the combination of lower traffic during lockdown and lower oil prices; and a minus 6.7% foreign exchange effect due to the strong depreciation of Latin American currencies. As you can see on Page 11, after increasing our growth rate in 2019 versus 2018, H1 2020 marks another half of sequential like-for-like acceleration. Given the particular profile of this quarter, we have decided to share with investors more details on the backdrop in which we operated in Q2. Q2 was marked by 2 distinct periods. April was impacted by lockdown measures in most of our countries. During that period, we observed very similar customer and shopping behaviors across countries, notably in Europe. Customers favored proximity. Our convenience stores were up by a very strong 19% and our supermarkets grew 8.3%. Online continued to grow very strongly after the surge in March. Hypermarkets were penalized by limits on mobility. Their sales were down in April by minus 4.6%. Food sales were up, while nonfood was down notably due to nonfood department closures in some countries such as Spain and Italy. Average basket increased across all formats while traffic was down, showing that customers limited their movements. Overall, group like-for-like sales evolution in April was a stable 0.3%. As of May, European countries began easing lockdown measures while they continue to be enforced in Argentina and in some, but not all Brazilian states. Situations varied from country to country. But overall, we posted a very solid plus 9.4% like-for-like growth in May and June. Some overarching trends emerge in this May-June period. First, food continued its solid momentum as our markets benefited from the shift to in-home consumption from out-of-home consumption. Second, nonfood regained attractiveness as departments that have been closed reopened and shoppers returned to stores. Nonfood sales grew by a strong 19.9% in May-June. Third, multi-format proved its efficiency with each format playing a specific role at any given time of the crisis. Hypermarkets regained fervor, growing by 8% in the May-June period while other formats continued to perform well, although at a lower pace, with supermarkets up 5.5% and convenience up 8.9% on a like-for-like basis. Across the quarter, our other activities such as travel and ticketing, cash & carry in Europe and gasoline sales were negatively impacted. Consumer credit production was voluntarily constrained to mitigate credit risk. The food e-commerce market has accelerated strongly in the first half and in Q2, in particular. We are convinced that the share of e-commerce in food consumption has made a quantum leap and will not return to where it was before. This demonstrates the relevance of Carrefour's strategic direction. For instance, food e-commerce penetration in France has surged from 6% before COVID to 10% today. In this context, Carrefour has performed very well with food e-commerce sales growing plus 100% in Q2, a sharp acceleration in all our geographies. This success has been made possible, thanks to the strong commitment of our teams and the investments and determined efforts put into e-commerce since the launch of the plan. The last significant impact on our reported sales, I would like to mention, is the negative ForEx effect. Indeed, our results in H1 were impacted by strong depreciation in some currencies. The Brazilian real dropped by 20% and the Argentine peso, down by 34%. This translated into a negative impact of minus EUR 86 million on recurring operating income in H1. Before I go into details of our results, please note that the positive and negative effects of the COVID-19 crisis are reflected at all levels of the income statement. The incurred costs were recognized in H1 recurring operating income, including extra costs relating to labor, logistics or product distribution as well as costs relating to protecting the health of employees, customers and service providers. Focusing now on our H1 numbers. Our sales stood at EUR 34.3 billion, rising 7% on a like-for-like basis. This represents a sharp acceleration from 3.1% like-for-like in full year 2019. Further investments in price competitiveness weighted on gross margin, which has been down minus 21 bps to 21.8%. This drop also reflected the momentary increase in logistic costs and the evolution of the integrated franchisee mix. This was partly offset by purchasing gains. In parallel, Carrefour continued its cost savings program in all geographies and benefited from a positive operating leverage. Distribution costs improved to 16.6% of net sales versus 17.2% in the same period last year. They benefited from the cost reduction plan and include extra costs related to sanitary protection, new stores and new customer services, notably in digital. This resulted in the strong increase of plus 29% at constant exchange rate of recurring operating income to EUR 718 million. The strong year-on-year growth of plus EUR 181 million at constant exchange rates in recurring operating income reflects on the one hand, the strong overall performance of retail activities; and on the other hand, a circa EUR 70 million negative impact at constant currencies or EUR 90 million at current currencies due to the increase in the cost of risk in financial services, and a circa EUR 50 million negative impact on other services such as travel agencies and ticketing and B2B sales in Europe, including France. Let's now focus on the cost-reduction plan. In spite of lockdown measures, the group maintained a strong pace of cost reduction in the half, with EUR 480 million of further gross savings. With EUR 2.4 billion in cost cuts since 2018, the group is ahead of its initial plan. Given the strong momentum, the target is raised once again from EUR 2.8 billion to EUR 3 billion by end 2020. Reducing costs, being more efficient while improving customer experience is now part of the daily metrics of our teams in all countries. This makes us confident that this cost savings dynamic will continue beyond 2020. Let's now look at our performance by geography, starting with France. Like-for-like sales increased in Q2 by plus 0.7% on a like-for-like basis. We saw strong growth in convenience, up 11.4% and supermarkets, up 4.3%. Hypermarkets were down minus 3.6%. Since the end of the lockdown in May, however, we have seen a good pickup in activity in French hypers. Nonfood has been dynamic, notably bazaar and electronics, which grew double digit. Textile was difficult. Recurring operating income in France was up 4.2% to EUR 125 million in H1, reflecting favorable dynamics of retail activities despite the drop in hypermarket activity during lockdown. The slowdown in Promocash, the partial closure of service activities like ticketing and the increase in the cost of risk in financial services had an unfavorable impact of approximately EUR 70 million on French operating profit in the first half. Turning now to Europe. Overall sales in the regions were up by a solid plus 4.7% like-for-like in Q2. In Spain, like-for-like sales increased by a very strong plus 9.8% as its customer-centric approach continued to pay off. Food e-commerce sales doubled. In Italy, Carrefour was penalized by its strong exposure to shopping centers, which were closed until mid-May and its presence in tourist areas. Like-for-like sales were down minus 7.4%. In Belgium, like-for-like sales growth was a remarkable plus 18.9% -- plus 15.9%. We continued to gain market share in a market that benefited from the border closures as more Belgian customers shopped at home instead of shopping abroad. Carrefour also capitalized on its improved price positioning. In Poland and in Romania, Carrefour's presence in big shopping centers, which only gradually reopened as of mid-May, translated into like-for-like sales of minus 4.2% and minus 2.2%, respectively. Recurring operating income in Europe rose sharply by 59% in H1 or plus EUR 74 million at constant exchange rates to EUR 199 million. All countries saw an increase in their recurring operating income. Operating margin improved by plus 69 bps to 1.9%. Carrefour benefited from a significant volume effect in key countries and strong cost-cutting dynamics across all geographies. In Latin America, we continued to see remarkable momentum. In Brazil, Q2 sales were up plus 14.9% on a like-for-like basis, accelerating over Q1. Performance was remarkable for the whole quarter across formats, with like-for-like growth of plus 30% at Carrefour Retail and plus 8.6% at Atacado. Food e-commerce posted record growth of more than plus 360%. Financial services posted broadly stable billings, as they reinforce selectivity in granting credit. These very strong figures demonstrate the success of the commercial initiatives taken in Brazil over the past 2 years. In Argentina, where like-for-like sales were up plus 54%, strong commercial momentum continued, including in volume terms. Recurring operating income in Latin America rose 27.5% at constant exchange rate to EUR 373 million in H1. Operating margin increased by 60 bps to 5.7%, reflecting a virtuous commercial strategy in which lower prices drive volume growth. In Brazil, a combination of strong performance and continued improvement in operational efficiency, drove a remarkable increase of plus 20% in recurring operating income in the half, reinforcing Carrefour's leading position in the country. In Argentina now, recurring operating income was positive in the first half for the first time since 2012, underscoring the turnaround based on customer satisfaction that has been underway over the past 2 years. Finally, in Taiwan, in Q2, sales were up plus 2.2% at constant exchange rates, thanks to the successful integration of Taisuco stores. Sales were down 2.5% like-for-like in Q2 as consumers have put off some nonfood purchases. In a decreasing market, Carrefour market share remained stable over the period in Taiwan. Recurring operating income in Taiwan increased by 15% at constant exchange rates to EUR 49 million in H1. Operating margin was up 35 bps to 4.5%. This increase reflects good expansion momentum and strict cost control. After this geographic view, let's move down the consolidated P&L. Consolidated net income improved by a strong EUR 463 million year-on-year and turned positive at EUR 73 million. On top of recurring operating income growth, sharp reduction in nonrecurring expenses contributed to the strong increase in net results. I will detail this in a minute. Financial expenses remained roughly stable. Tax expenses increased to EUR 238 million, reflecting a higher profit before tax. As a result, adjusted net income group share from continuing operations stood at EUR 253 million in H1, a 63% gain, added nearly EUR 100 million year-on-year. Carrefour significantly reduced its nonrecurring expenses in H1, which stood at EUR 234 million versus EUR 610 million in the year ago period. They include EUR 128 million in exceptional bonuses and similar benefits to group employees paid during the half. It's also worth noting that restructuring costs were significantly reduced by EUR 300 million in H1 to EUR 42 million this half. After this overview of the P&L, let's move down the consolidated cash flow statement. Net free cash flow was up by EUR 197 million compared to H1 2019. It primarily includes the increase in EBITDA of plus EUR 116 million, reflecting the strength of the retail business in the half. It also includes the following items: the payment of EUR 128 million of exceptional bonuses and similar benefits; a lower cash out for restructuring cost of EUR 184 million; the absence of a dividend from Carmila, whereas we received EUR 73 million in H1 last year; an improvement of the change in working capital by EUR 57 million, reflecting a dynamic activity, a stable level of inventories, an unfavorable calendar effect on trade payables and lower petrol sales. CapEx decreased by EUR 179 million to EUR 449 million in H1. CapEx continued to benefit from selectivity and productivity measures and were reduced in the context of the crisis. For the full year 2020, CapEx are now expected to be contained below EUR 1.5 billion. All in, adjusted for exceptional items and discontinued operations, the group posted an improvement of EUR 95 million in its net free cash flow. Net financial debt decreased by EUR 935 million year-on-year at constant exchange rates. It amounted to EUR 5.2 billion at end June 2020. This significant decrease was driven by improved free cash flow and proceeds from the disposal of our activities in China and Cargo in H2 last year. The group's liquidity was reinforced during the half by the bond issue carried out in March for an amount of EUR 1 billion maturing in December 2027. In April, the group redeemed a bond issue for an amount of EUR 802 million. In addition, the group has 2 credit facilities totaling EUR 3.9 billion, which have not been drawn down to date. These 2 lines were recently extended for 95% of their total amount, bringing their maturity to June 2025. Carrefour has one of the strongest balance sheets in the industry. This is an important asset in the current context, marked by rapid changes in the food retail sector, the continuing COVID-19 pandemic and an economic slowdown. In conclusion, our H1 results are the fruit of all the self-help initiatives that Carrefour has undertaken in the past 2.5 years as part of its transformation plan. These have made us a very resilient group with a solid balance sheet, able to invest in growth initiatives and act as a market consolidator. Management is fully focused on execution. We confirm or raise all our operational and financial targets of the Carrefour 2022 plan as well as our ESG objectives. Thank you very much for your attention. Alexandre and I and are happy to take your questions.
Operator: First question is from Mr. Cedric Lecasble from MainFirst. Next question is from Mr. Clement Genelot from Bryan Garnier.
Clement Genelot: Two questions from my side, if I may. The first one, can you elaborate on the timing regarding the nomination of Mr. Rami Baitieh as the CEO of -- for France? Second one is just to have your view on the chance of having a price war in France in the following months.
Alexandre Bompard: One word about France first and the nomination of a new manager. We have been working the last 2 years to build the foundation of France. We have transformed the business model. We have worked on digital capabilities. We have developed our own brand, our organic product; work on partnerships; increased price competitiveness with a variety of initiatives; restructure the scope; and implemented strong cost savings dynamic. On all these initiatives developed by Pascal Clouzard and all the team, were validated during the crisis. But this crisis also convince me about the huge necessity to accelerate again, to put a stronger focus on customer satisfaction, seamless execution. And I did think that when you have this type of conviction, you have to decide quickly and to be capable to take decisions. And that's why I decided to make a certain number of managerial changes. Particularly, of course, as you've obviously seen in France and to appoint Rami Baitieh. We have been facing together strong challenges in the last 3 years in Taiwan, then in Argentina, then in Spain. I know him by heart. I'm absolutely convinced that he can give a lot of improvements in this customer satisfaction and seamless execution in France. And I'm very happy that he has taken this responsibility. And I trust about his capabilities to accelerate this customer-centric approach. Concerning price. Since my arrival, I have been hearing about a threat of price war in France. Of course, it's a challenging market for players. It's a very competitive market. And of course, the purchasing constraints would be very central in September as it is today. We have been working very strongly in the last 2 years to reinforce our price competitiveness. We have made a lot since the beginning of the plan. We launched the Loyalty Rewards. We will launch the Unbeatable Prices. We launched during this semester a new loyalty program in supermarket. We launched the [ pre engage ] on the private label in France. So we have done a lot to restore price competitiveness. As you know, we -- the starting point was far from the back. We made some clear undoubtable improvements, but we are not yet exactly where we want to be. So we will continue to invest to develop new initiatives to continue to reinforce our price competitiveness.
Operator: Next question is from Mr. Nicolas Champ from Barclays.
Nicolas Champ: You provided more details regarding your performance in Q2. I mean, there's a breakdown between April, May and June. Could you please also elaborate on your activity at the beginning of Q3 in July and especially in this new environment? I mean, in other words, do you see any, for instance, any negative impact from the lower touristic flows? But again,  in touristic to hear if performance at French hypermarkets continued to improve in July again? Second question is your performances in Brazil and France has been impacted by a consumer credit division in these 2 countries by higher cost of risk. Do you see the risk of additional provisions in the second half of this year? Or is it enough, you think? And the third question. So you raised your cost-saving plan by roughly EUR 200 million by the end of the year. Could you be a bit more specific regarding the regions, the geographies or the divisions, where you have identified additional cost savings potential, please?
Alexandre Bompard: I'll take the first and third. And beginning -- begin by Q3. As you know, we traditionally don't give any comments on the current Q to -- a little bit. I would say that we continue to benefit from our positioning across the different countries and don't see any significant impact or change in trend since summer has started. There is no real impact or significant or meaningful impact of tourism. Of course, international tourism is decreasing. It can affect, for example, convenience in Paris, but it is not really meaningful for us as we are present across different countries with different type of format. On international tourism is not central for us. As you know, it's more in hotel and restaurants, and it is compensated by local tourism, which is gaining momentum. And in the meantime, in this Q3, we continue to see out-of-home consumption, which is quite -- continue to decline, which is not at full speed. And consequently, it has a positive -- a more positive effect on home consumption. On cost cutting. As you know, we have implemented a stronger culture of financial discipline. That's why we are capable to achieve EUR 2.440 billion of cost savings since the beginning of the plan. This culture is today widespread throughout the organization. We are keeping up the race of -- the pace of cost savings, and we are confident in the momentum. That's why we raised the objective. The momentum is strong and every country, to answer your question, delivered savings. It's moving faster in some countries at the beginning. But today, every country managed to deliver saving. And all countries contribute more or less their fair share.
Matthieu Malige: On your second question, Nicolas, relating to financial services. You get it right. Our recurring operating income has been negatively impacted by EUR 90 million at current exchange rate in the semester of [ 70 ]. At constant exchange rates, we have 3 main geographies: France, Brazil and Spain. We also have a significant financial services activity in Spain. What happened in the course of the semester, I think the teams have been very reactive. They've gone through previous crisis, so they reacted quite well. They've been more selective in granting credit. They also reinforced the credit recovery teams in order to accelerate the recovery, and they implemented some cost-saving measures. At the end of the semester, we used our prudential models and indeed, booked an increase in the cost of risk. What's the perspective in H2. It will obviously depend on  the evolution of the economic crisis and the credit quality of our portfolios. I think we've been quite conservative in the past, the teams are used to that type of situations. We also see that the stimulus packages, which have been put on the various tables in different geographies, are very significant, and clearly, that will help us on that matter.
Operator: Next question is from Mr. Xavier Le Mene from Bank of America.
Xavier Le Mené: Yes. Two, if I may. The first one, you were commenting in Q1 being in line with your budget and despite the COVID-19 environment and the bonuses you paid to your staff. So where are you at the end of H1 if you have to compare with your initial budget? So that would be the first question. Second one. Are you able to comment a consensus today for the full year?
Alexandre Bompard: Perhaps I take the one on consensus. You know that the consensus number differs from one provider to another. So I won't comment on a specific number because, as we know, we don't provide guidance. But to try to help you to think about that, this H1 highlights the relevance of the choices we have made so far. Our strategic plan is progressing well. It's gaining momentum. It highlights also the resilience of our multi-format and omnichannel model. And all these reinforces our confidence. And looking at overall market expectations, I think that they are, let's say, consistent with the current trend of the business on these uncertain moments.
Matthieu Malige: On your question on the budget, Xavier. So obviously, I'm not going to share our budget numbers. What occurred in Q2 after the comments we made in -- for the first quarter. As you can imagine, and we've disclosed the April like-for-like numbers, I mean, April was tough versus initial expectations. And to the contrary, the May and June dynamic was quite strong. So at the end of the first half, we -- you've seen the numbers, so you know exactly where we are. But indeed in terms of profitability, performance, there's been also 2 periods in the second quarter.
Operator: Next question is from Mr. Arnaud Joly from Societe Generale.
Arnaud Joly: Yes. I have 3 questions. The first one regarding your pricing at French hypermarket. In some cases, we noticed that you can be much more expensive than, let's say, on certain national brands in grocery or prepacked [ core meat ], for example. Do you plan to rebalance your pricing policy, so between EDLP promotions and loyalty rewards? So in other words, do you plan any stronger focus on EDLP, like Tesco plans in the U.K.? My second question on French hypermarket as well. I understood that you had an improvement in the NPS score at French hypers at the end of '19, early '20. What was the impact of the COVID crisis? So was there a break or not? And the last question on online groceries. So much higher demand related to the crisis. Have you been able to release efficiency gain? And what was the profitability of your online business with the run rate seen during the lockdown?
Alexandre Bompard: Thank you, Arnaud. First question on prices. First, I think we have to be very cautious analyzing precisely the prices during the lockdown moments. It was very difficult to precisely analyze what was the situation on the price policy of everybody. What we do see in a longer trend for 2 years is that, undoubtedly, we are -- we have been capable to reduce the gap we have with the leader. We have been capable to do that using different type of tools, working on loyalty programs that has been developed in a hypermarket first, on supermarkets in 2020. Working on Unbeatable Prices, working on committed prices. So we try to use all these elements, all these tools to restore attractiveness in terms of price. We are not yet where we want to be. We still have room for improvement. I know Rami is already working on that. The good news is that as we are capable to deliver stronger cost savings than expected, we have fuel for that. So we will continue to invest in terms of price and thinking about different and other initiatives in the future. On your question on NPS. As you know, it's today a key criteria for us to analyze our performance. We have been capable in the first semester, in general, to improve the NPS by 3%. What is extraordinary and proves the commitment and the incredible commitments of the teams in all the geographies is that it has been a strong reinforcement during the heart of the crisis. It has been the case in e-commerce. It has been the case in hypermarket, supermarket, proximity store. That's linked to the fact that the team has been highly dedicated, have tried to think for the customers that we have been capable in stores in e-commerce to launch new services to help the one that need helps during this moment. And it was a real pride for all the team to be capable to improve customer satisfaction during all this period. Of course, we are not in all our geographies at the place where we want to be, particularly in France. There's room for improvement. As you know, Rami is really customer-centric oriented, is focused on that and obsessed by that. So I know that we will continue to take new initiatives to improve our NPS performance. As you know, we have a direct consequence between these capabilities to improve our NPS performance and our overall performance. On your last question on profitability, on e-commerce. Perhaps one word on e-commerce in general. I would say first this period has been an opportunity in terms of e-commerce for us, to convert customers that did not use online shopping for food before the crisis. We have been capable, I told that in my speech, to attract 8,500 -- 850,000 new customers worldwide. We have been capable to do that because during all this crisis, we have developed online capacities. We increased, first, our distribution capabilities, deployed a network of drive and Pedestrian Drive, build new partnership. We announced one  yesterday with Uber Eats. Open home delivery service in all our geographies. We have been capable also during this moment to open new installed or preparation areas and accelerated warehouse mechanization. And we have thought about new services, essential baskets, for example, to have a simple offer during this moment, all the capabilities to take order by phone on meal deliveries, especially for vulnerable people and medical staff. So we have been working, and the teams have made a great work during all this crisis, to develop our e-commerce attractiveness for the customers. To come back to your question on profitability. As you know, e-commerce economic model is the sum of the margin, post-variable costs minus fixed costs. And if you have a strong increase of volumes, you have a positive impact on your variable cost margin while fixed costs are fixed. And that's exactly what we've seen during this crisis. The sudden surge in volume has been positive for the profitability of e-commerce. And consequently, e-commerce has contributed to the increase in recurring operating income this half. And that's very positive for the future as we think that this crisis has made a quantum leap and will not return to where it was before.
Operator: Next question is from Madam Fabienne Caron from Kepler Cheuvreux.
Fabienne Caron: Three quick ones. The first one, can you single out all of the EUR 70 million for France? What was exactly the impact of provision for financial services, please? The second one, again on numbers. On Rue du Commerce, you deconsolidated Rue du Commerce because it's old. Can you remind us the impact on EBIT for H1 and what you expect in H2 because I say this was a loss making business. And finally, could you give us some qualitative comments on France regarding the like-for-like performance of integrated [ message ] integrate -- so integrated versus franchisees hypermarket and supermarket, please?
Alexandre Bompard: So on financial services, on your first one, Fabienne, well, we're not disclosing that. As you've seen, we're giving a consolidated number. However, we've given a specific number of France with the other activities, so you can understand what are the effects outside of core retail. As far as Rue du Commerce. So Rue du Commerce has been -- well, is not impacting our recurring operating income this year. It was loss making, probably around EUR 20 million per semester last year. So we have a EUR 20 million positive impact this year versus last year due to the divestments of Rue du Commerce. Concerning your question, Fabienne, about, let's say, qualitative behavior, our franchisee and integrated. If we try to come back to supermarket, which is probably the format in which we have a balanced between integrated formats and franchise format, I would say that we have seen a better performance of the franchised store at every moment of the crisis, which is probably linked to many elements, including the entrepreneurial way, the fact to be a little bit more flexible in the hours of openings. You've probably seen that at the peak of the crisis, we've taken some initiatives in terms of hours of openings on hypermarket and supermarket for all our integrated stores because we did think that the priority was the protection of our teams and our customers. Franchise market have been, of course, more flexible. It's their responsibility to decide precisely what are the hours of opening. And consequently, their performance has been slightly stronger than our integrated store in supermarket during this crisis.
Fabienne Caron: Did you see the same from [Audio Gap] management?
Alexandre Bompard: For the hypermarket? Repeat your question, Fabienne, you were cut.
Fabienne Caron: Sorry. I was asking if you saw the same as well better performance for the hypermarket in risk management.
Alexandre Bompard: Yes, it was less obvious. But in the peak of the crisis, we have also this type of slight differences, but probably less obvious than it was for supermarket.
Operator: Next question is from Mr. Nick Coulter from Citi.
Nick Coulter: Two, if I may. Firstly, just to follow-up on Arnaud's question on EDLP. Just to ask whether you think your customers in France has become more price sensitive as they come out of lockdown and less responsive to promotions. And then secondly, should we take the first half restructuring costs within nonrecurring as a sensible guide for the second half? I obviously be interested in both P&L and cash impacts, please.
Alexandre Bompard: If I well understand your question, obviously, the sensitivity to prices was stronger at the end of the lockdown than during the lockdown. During the lockdown, the key priority was to have capabilities to have access to food and with restrictions of mobility. As you know, there was not campaign of promotions with paper, with catalogs. So I would say, of course, it depends on the social category of the population. But I would say, of course, that the price sensitivity was not as strong than it is normally. Since the beginning of July, we come back to the world we know, with a real price sensitivity of the French market and our different markets.
Nick Coulter: You seem to say that the French consumer is getting more price sensitive, and some of the switching data seem to suggests that your hypermarkets are losing what you price with competitors...
Alexandre Bompard: On your second question regarding restructuring. So in terms of restructuring, as you rightly noticed, no significant new restructurings have been incurred in the course of the first half in nonrecurring expenses. We think that -- so we have provisions, which have been incurred for past periods. We still some cash out. We probably have EUR 250 million to EUR 300 million that will be cashed out over the coming semesters, probably not fully in H2, but probably partially in H2 with the rest coming later on.
Nick Coulter: Okay. So just to be clear, you're not seeing a more price-sensitive French consumer into the coming months?
Alexandre Bompard: No. What is obvious is that related to the economic and social situations, there would be higher purchasing power constraints. And consequently, the question of price will be very central. But as you know, if we stay in France, the centrality of the price is still very -- is already very strong. So it can be slightly reinforced. But I don't see a major change on that.
Operator: Next question is from Mr. Andrew Porteous from HSBC.
Andrew Porteous: A few, if I may. Firstly, just in terms of the consumer behavior that you've seen through lockdown. Has that changed your thoughts around things like ranging and assortment? Is there a potential to perhaps still a little bit more than 15% if consumers are a bit more focused in terms of the products they're buying? And then secondly, one of the targets where there's perhaps still a little bit more work to do is around the space reduction. Could you perhaps talk about the plans there over the next couple of years? And which regions are going to sort of see the main action in terms of the remainder of the target in terms of space reduction? And then a short last one. Could you just confirm -- the color on online profitability was helpful. But is your online business profitable yet?
Alexandre Bompard: Yes. Thank you. First question, it's quite difficult to take real new insights from the peak period of the lockdown, which, as you know, was so particular on the -- in which the main constraints was the constraints of mobility. So -- but to try to answer your question about what we've seen and probably we've modified or not modified but adapted a little bit after the crisis is that on nonfood, we did measure during the crisis and immediately after the crisis that there was potential for us to reinforce our offers because the hypermarket is the efficient way of shopping in one time. And we know that the customers today hesitate visiting many stores because also there are difficulties of a certain number of players of specialized retails. And of course, it reinforced mechanically our attractiveness. Because also we begin to bear the fruits of all the work we have been doing for 2 years in improving our offers in massifying between all our countries, in launching worldwide products with attractive price. And so I would say that this crisis has made us to adapt a little bit on the assortment and to be obsessed about being capable to answer customer needs, including nonfood, in all the categories. And that's probably a little adaptation from this crisis on the assortment on nonfood. Matthieu, on the second one?
Matthieu Malige: On your second question, Andrew, regarding space reduction. So as you saw at the end of our press release, we have kept progressing in the course of the first half on space reduction with roughly 20,000 square meters of further space reduction. Clearly, the pace has slowed down due to the confinement and the impact on works. Where will the further square meter reduction come from? Well, it will basically keep coming from what we've done, means big and the largest hypermarkets where we see areas to densify the offering. And we now have commercial models, which proved quite efficient on smaller square meter areas with all the associated benefits in terms of profitability and capital employed. We've seen these surface reduction in pretty much all geographies, Italy, Argentina, France. And so we think it would come from all geographies, mainly focusing again on big hypers. E-commerce...
Alexandre Bompard: On the e-commerce profitability. Don't think that we were thinking about if it is profitable or not because the answer is very clear. It's today, not profitable of course. But as I previously explained, this acceleration of volume has been positive for the profitability of the e-commerce and e-commerce has contributed to the improvement of our global recurring operating income in this semester.
Operator: Next question is from Mr. Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Three quick ones, please. Perhaps in terms of franchising in hypermarkets, maybe you can take a step back and give us a bit of a picture into how you see it 2, 3 years out, what is the right level of integrated stores versus franchise models lease under the lease model? The second one. Given what we're seeing in terms of nonfood strength, how does that make you rethink the assortment and the space reduction in hypermarket? Does that change anything? Do you need to do anything different in nonfood? And thirdly, actually, just harking back to  Fabienne's question, on the EUR 70 million impact. Even if you're not willing to give us the exact split, would you say majority is the cost of the risk of the EUR 70 million because it would help us greatly to be able to model the second half and beyond. And that would be very helpful, if you could give us qualitative comments.
Alexandre Bompard: On your first question, as you know, since the launch of this plan, we have developed lease management stores for the first time in hypermarket and transferring 10 new stores of hypermarkets last year. We have accelerated a lot the pace of transfer into franchise market of supermarket this year. For example, it was 30 stores last year, and it was 34 in the first semester this year. So the pace, the intensity of transfer has been accelerated strongly. It doesn't mean that we don't believe in our integrated stores and the -- and Rami and the team are working very strongly to introduce this more entrepreneurial spirit in all our integrated stores, including hypermarket and supermarket. But we try to build this very balanced model between integrated on franchise store. And of course, we have accelerated a lot since the launch of the plan. On your second question, I don't want to repeat what I've said. I don't think that there is real consequences on our objective of 15% of assortment. But -- so this objective is still the same and we will reach this objective. But it means that we are very, very cautious on nonfood. On category -- subcategory that we decide to reduce, we really think -- we really try to be the most attractive possible for our customers. We have -- today, we see that our basket average are increasing and that the proportion of nonfood in this basket is strong. So we want to be capable to fulfill our customer needs. Matthieu?
Matthieu Malige: 1 On your third question. So I indeed said, and that's in the press release, that we have a EUR 70 million negative impact from the increase of cost of risk. There's basically 3 business units contributing to that or 3 main ones: France, Spain and Brazil. So it is 3 main business units for EUR 70 million, then I would let you make your estimation inside that. But let's say, they have a similar size of businesses, clearly different profiles, but similar size of businesses.
Alexandre Bompard: I think we have time for a last question.
Operator: Last question is from Mr. Robert Joyce from Goldman Sachs.
Robert Joyce: So the first one. Just to quickly follow-on from trade-offs. I guess on the banking -- the impact from the banks, can you say what the split is then between provision levels and lower interest income? Because you said you sort of reduced the risk you were taking there. The second one is, I think you mentioned that the French grocery market is now a 10% e-commerce penetration. Can you say what penetration your French business is that? And then the final one, just on e-commerce, again. It's not profitable today. What is the key difference in that? Where do you need to see the leverage in that business to gain profitability?
Alexandre Bompard: On your first one, I'm not going to help you much, Rob, on the financial services. Obviously, very different business profiles, depending on the, well, several different parameters. Clearly, what's the maturity of the credits, very different from one country to another. What is the turnover of the customers in terms of maintaining their credit or  stopping their credit earlier. What has been the production. We've been quite cautious in the production. You probably saw in the Brazilian press release that at the end of the semester, they're starting production again. There's more profitability on extra production in Brazil. And they felt that they had risk well under control. So many different parameters. So the main message I'm giving you specifically a number is because there is an impact this semester, and we want you to understand what are the main drivers behind the performance.
Robert Joyce: No split between provisions and interesting...
Alexandre Bompard: On your online questions. As you know, we don't have our natural market share in terms of e-commerce and that's why we launched this comprehensive plan to be capable to catch up and to take the lead, even if we all know that due to our situation on the drive, we are lagging behind the leader. We were behind 10%, around 8% when we launched the plan. We have been capable to improve our market share on online by 4 or 5 points. And so we accelerated quite strongly. And I think that the performance of this semester prove that we continue to overperform very, very strongly the market and we have created all the conditions for that to continue in the next quarters. On your second question. We can't spend much time on that. There are many levers to be capable to reach profitability online. I would say that first, we need volume on the -- on now very stronger volume. We need volume to compensate fixed cost and this crisis would be a key momentum of -- for e-commerce, for food e-commerce because now we have the level of volume that make possible the profitability on e-commerce. And secondly, we need to work on the industrialization on the process, on the performance of all the lines, the installed preparation area, the mechanization of accelerated big warehouses, the performance, drive by drive, Pedestrian Drive by Pedestrian Drive, the capabilities to build a clever partnership with home delivery services companies. All that contributes to the improvement of our profitability on online. So it's not one point, it's the -- all these elements that contribute to the fact that we are now capable with the e-commerce to contribute to the improvement of our overall profitability. Thank you to all of you. Have a very good summer. Thank you for your attention.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.